Operator: Welcome to the LGI Homes First Quarter 2020 Conference Call. Today's call is being recorded and a replay will be available on the company's website later today at www.lgihomes.com. We have allocated an hour for prepared remarks and Q&A [Operator Instructions] At this time I will turn the call over to Rachel Eaton, Chief Marketing Officer at LGI Homes. Ms. Eaton you may begin.
Rachel Eaton: Thank you. Welcome to the LGI Homes conference call discussing our results for the first quarter of 2020. Today's conference call will contain forward-looking statements that include among other things statements regarding LGI's business strategy, outlook, plans, and objectives. All such statements reflect current expectations; however, they do involve assumptions, estimates, and other risks and uncertainties that could cause our expectations to prove to be incorrect. You should review our filings with the SEC including our risk factors and cautionary statement about forward-looking statements section for a discussion of the risks uncertainties and other factors that could cause our actual results to differ materially from those anticipated in these forward-looking statements. These forward-looking statements are not guarantees of future performance. You should consider these forward-looking statements in light of the related risks and you should not place undue reliance on these forward-looking statements which speak only as of the date of this conference call. Additionally, non-GAAP financial measures will be discussed on this conference call. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP are included in the earnings press release that we issued this morning and in our quarterly report on Form 10-Q for the quarter ended March 31st, 2020 that we expect to file with the SEC later today. This filing will be accessible on the SEC's website and in the Investors section of our website at lgihomes.com. Joining me today are Eric Lipar LGI Homes' Chief Executive Officer; and Charles Merdian the company's Chief Financial Officer. With that, I'll now turn the call over to Eric.
Eric Lipar: Thank you, Rachel and welcome to everyone on this call. We appreciate you're joining us for our first quarter earnings call and thank you for your continued interest in LGI Homes. Before I begin I'd like to express my best wishes to everyone on the call. We sincerely hope you and your families are safe healthy and successfully navigating the challenges confronting all of us during this unprecedented time. To our dedicated health care workers and others on the front lines of this pandemic all of us at LGI would like to express our heartfelt gratitude for your dedication bravery and self sacrificing efforts on behalf of our nation. And we thank you for providing for our citizens' needs during this challenging time. To our LGI Homes employees your dedication grit and commitment to our LGI values and to our customers is an inspiration. We know that many if not most of you have taken on expanded responsibilities in addition to your day-to-day roles here at LGI. Many of you are now working in your homes as teachers cooks counselors entertainers and in many cases caretakers. Despite these challenges you have performed above and beyond our expectations as you continue to help our customers realize their dreams of homeownership at a time when our idea of shelter has taken on a new and more profound meeting. During today's call I will share highlights from the first quarter of 2020 and then Charles will follow-up to discuss our financial results in more detail. I will then conclude with comments on what we are seeing in the market since the beginning of April our performance during this period and our near-term expectations. Finally we will open the call for questions. Coming into the first quarter we saw continued strong demand for LGI Homes supported by an attractive interest rate environment and a limited supply of affordable new homes in the markets where we operate. We delivered record-breaking closings in January and February and had significant momentum going into March. However efforts to control the spread of COVID-19 resulted in a global economic slowdown, motivating us to take proactive measures to position our business for the coming uncertainty. The combined impacts of social distancing, stay-at-home orders and other COVID-19-related dynamics slowed our pace of sales. Despite these headwinds, our pipeline remains strong and the efforts of our dedicated employees enabled us to close 795 homes in the month of March and deliver a record-breaking 1,835 closings in the first quarter. In the first quarter, we averaged 5.6 closings per community per month company-wide compared to 4.9 in the same period last year. We saw strong absorptions for the quarter across the nation, highlighted by outstanding performances in our San Antonio, Seattle and Houston markets. Our top market was San Antonio, averaging 8.7 closings and close behind were Seattle and Houston each with 8.1 closings per community, per month. In addition, we ended the first quarter with 113 active communities, approximately 30% over the same period last year. With that, I'll turn the call over to Charles Merdian, our Chief Financial Officer.
Charles Merdian: Thanks, Eric. Home sales revenues for the quarter were $454.7 million based on 1,835 homes closed, a 58.1% increase over the first quarter of 2019. Sales prices realized from homes closed during the first quarter averaged $247,808, a 5.8% year-over-year increase. This increase in the average sales price per home was primarily due to changes in geographic mix, highlighted by our strong performance in our Northwest division, which includes the states of Washington, Oregon and Colorado. In these states, we closed 273 homes in the first quarter compared to 99 in the prior year. This quarter represented 15% of our overall closings compared to 8% in the first quarter of 2019 and our average sales price was approximately $375,000. Gross margin as a percentage of sales was 23.4% this quarter compared to 23.1% for the same quarter last year, an increase of 30 basis points. We closed 199 homes in our wholesale business in the first quarter of 2020 or 10.8% of total closings compared to 30 homes or 2.4% in the first quarter of 2019. Gross margins excluding wholesale closings were up 90 basis points year-over-year. Our adjusted gross margin was 25.5% this quarter compared to 25.1% for the first quarter of 2019, a 40 basis point increase. Adjusted gross margin excludes approximately $9 million of capitalized interest charged to cost of sales during the quarter, representing 200 basis points and consistent with expectations. Combined selling, general and administrative expenses for the first quarter were 11.6% of home sales revenue compared to 15.7% in the prior year, primarily reflecting operating leverage from more homes closed and higher average sales prices. Selling expenses for the quarter were $32.8 million or 7.2% of home sales revenues compared to $26.8 million or 9.3% of home sales revenues for the first quarter of 2019, a 210 basis point decrease. In addition to operating leverage, we reduced our advertising spend by approximately 30% in the first quarter of this year compared to the first quarter of 2019. The reduction in spend was due to optimized performance in advertising campaigns, increased demand and our ability to respond to a rapidly changing environment. General and administrative expenses were $19.9 million or 4.4% of home sales revenues compared to 6.4% for the first quarter of 2019, a 200 basis point decrease. Pretax income for the quarter increased 153% to $54.9 million or 12.1% of home sales revenue compared to $21.7 million or 7.5% of home sales revenue in the prior year. For the first quarter, our effective tax rate of 22% is slightly lower than our annual expected effective tax rate, primarily as a result of deductions in excess of compensation costs or windfalls. We expect that our effective tax rate for the remainder of the year will range between 23.5% and 24.5%. We generated net income in the quarter of $42.8 million, or 9.4% of home sales revenue, which represents earnings per share of $1.69 per basic share and $1.67 per diluted share. During the quarter, we purchased approximately 567,000 shares at an average price of $55 per share for a total of $31.3 million under our previously authorized share repurchase program. The initial purchases were made at the end of February and opportunistically continued through the latter part of March. We ended the quarter with 25.1 million shares outstanding. First quarter gross orders were 3,036 and net orders were 2,481, a 27.4% increase over the prior year first quarter. Ending backlog for the first quarter was 1,879 homes compared to 1,344 last year and the cancellation rate for the first quarter of 2020 was 18.3%. Our ending backlog average sales price was approximately $238,000. We ended the first quarter with a portfolio of 50,273 owned and controlled lots. And as of March 31, 62% of these lots were owned and of this amount approximately 7,800 were finished vacant lots, 20,000 were either raw or under development, 3,600 were either completed homes, information centers or homes in process. Throughout our history, we have maintained a disciplined approach to our capital structure. We believe our conservative balance sheet is a strength going into this uncertain time and along with our ample liquidity, enables us to withstand periods of economic uncertainty. As the potential magnitude of the pandemic along with the effects of the government's reaction to contain it, became clear we proactively took steps to shore up our balance sheet and prioritize our cash position. These steps included, but were not limited to prioritizing closing our existing pipeline limiting the release of new starts, reducing our marketing spend, suspending new land acquisitions, and working with land sellers to postpone the vast majority of land acquisitions into future months. As of March 31, we had approximately $118 million in cash up from $38 million in December, approximately $1.5 billion of real estate inventory and total assets of $1.7 billion. Our focus on cash management has resulted in positive cash flow. During the month of April, we paid down $50 million on our credit facility, and currently have over $120 million in cash. We expect we will have approximately 3,100 completed homes, information centers or homes in process down from 3,600 in March. We also canceled extended or deferred land acquisitions resulting in owned and controlled lots of approximately 45,000 at the end of April, down from over 50,000 at the end of March. Also at the end of March, we had $753 million in total debt outstanding under our revolving credit facility and senior notes. Our available borrowing capacity was approximately $137 million, resulting in combined liquidity of $255 million. Our net debt to capitalization was 42.1%, down from 43.6% or 150 basis points from December and down 650 basis points from March 2019. During April, we successfully completed the annual amendment to our existing credit agreement. This amendment continues to provide for a $650 million revolving credit facility and more favorable terms, primarily related to our interest coverage ratio and extends the existing maturity for $520 million by one additional year to 2023. The facility can be increased by up to $100 million. We expect to continue to be diligent in our balance sheet management through our investments in both land and vertical construction, and we believe we are well positioned to provide us with the necessary flexibility given the current environment. At this point, I would like to turn the call back over to Eric.
Eric Lipar: Thanks, Charles. Throughout this challenging time, we have remained focused on our commitment to our customers' dreams of homeownership. Home has always played a vital role in our lives. Now more than ever, our homes have become command central for all that we do and our LGI team has worked diligently to continue to provide homes for our customers despite many obstacles. The safety, health and well-being of our employees, customers and trade partners has been at the forefront of every decision we have made over the past nine weeks. As social distancing mandates and stay-at-home orders were released, we quickly adjusted our operations to comply with government and health agency guidelines. By the third week of March, most states where we operate had designated construction as an essential service. Since we were permitted to continue to operate, we implemented additional measures at our information centers to protect the health of our customers and employees. These include, but are not limited to increased frequency of cleaning, shorter selling hours, showing by appointment only and a rotating schedule limiting the number of people in our offices. We have enacted social distancing protocols in our communities and arranged construction schedules so that no more than one trade is in the home at any one time. Due to our ebb and flow construction schedules, we already followed many of these protocols limiting the need for significant changes which minimize delays in construction time lines. Additionally, we have suspended all nonemergency warranty work until it's deemed safe for us to enter our customers' homes and they are comfortable with us doing so. A key to preserving our shared beliefs and maintaining morale during this difficult time has been a heightened level of open, collaborative communication. Management has implemented a targeted program of meetings and communications often in the form of conference calls with our employees, customers, existing homeowners, trade partners, lenders and our Board of Directors. These calls are designed to keep communication flowing efficiently as operational, safety and service decisions are disseminated to the organization and real-time feedback from the field is obtained. The response to these calls has been universally positive. These calls have enhanced our ability to adjust to rapidly changing market dynamics. Our frequent communication to LGI employees has allowed us to express our appreciation, ensure alignment on our modifications to our business practices, and inform our people that we have no intention of furloughing or laying off any employees. We have invested heavily in recruiting, hiring, and training and we believe our employees are the best in the business. Each of these individuals will be instrumental to our continued success during this time of uncertainty and in the recovery to come. As Charles mentioned in his comments, we have been laser-focused on managing and preserving cash. As the potential scale of the pandemic impact became clear, we undertook prudent measures to strengthen our cash position by reducing our starts and focused on monetizing our existing pipeline of homes under contract. As we work closely with our customers through the mortgage and closing process, they constantly comment that recent events have only increased their desire to relocate their families to the comfort, space and security that single-family homes offer. As a result, we saw a strong pull-through in our pipeline. And pending verification of fundings, we expect to formally release 605 closings for the month of April later today. These closings in conjunction with our cash management initiatives have solidified our balance sheet and put us in a strong position to weather this uncertain environment. Year-over-year, April demand in sales were down approximately 35%. This decline was expected given the combined effects of stay-at-home orders, reduced information center hours and restricted staffing. In addition, we proactively reduced marketing spend to manage consumer demand, allow for social distancing and focused our attention on the most motivated buyers. Before I conclude, I want to highlight that in line with the announcement in our press release, we are withdrawing our 2020 full year guidance. Due to the ongoing uncertainty in the U.S. economy from recent events, the longer-term economic impacts to our business are impossible to predict at this time. However, I do want to provide you with a near-term outlook that will be reflective of what we are seeing in our markets and business now. Although, April sales were slower, our pipeline remains strong and we continue to build, sell and close homes in all of our markets. Additionally, rates remain at historically attractive levels and despite recent modifications to underwriting standards; we are not seeing a measurable reduction in the availability of mortgages for our buyers. As a result and based on what we've seen so far this month, we expect to close between 500 and 600 homes in the month of May. We expect our average sales price for the second quarter to range from $230,000 to $240,000. This is lower than the first quarter and is primarily the result of expected mix shift in different markets across the country. Finally, we expect our gross margins and our adjusted gross margins in the second quarter to be similar to what we generated in the first quarter of this year. In closing, we’ll navigate the unpredictable days ahead by focusing on the proven fundamentals that enabled us to grow and succeed since our founding. First, we are a systems-based company. This creates a disciplined framework for building and selling homes regardless of market conditions. What we call the LGI way allows us to focus on the things we can control and to control them effectively. Next, we manage our balance sheet conservatively and have the capital structure and liquidity we need to support our business through any period of uncertainty. Additionally, we build and sell quality homes that address the needs of entry-level buyers at a compelling value. A consistent theme from our customers is that now more than ever, they are ready to move out of densely populated living situations and into homes that offer more space and privacy. Our 100% spec-focused strategy positions us to address these needs when it matters to our customers most. Finally and most importantly, our greatest asset is our people. They will be the key to our long-term success as we create value for all of our LGI stakeholders. With that in mind, I want to reiterate that we have no plans for layoffs or furloughs for existing employees. To the contrary, we plan to increase our employee count in the coming months to support our growth and continue on our path to becoming a top five builder. We are now prepared to open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Rehaut from JPMorgan. Your line is now open.
Elad Hillman: Hi, thanks for taking my question. This is Elad Hillman on for Mike. My first question was just -- I wanted to -- maybe you could give a little more color on that closings number for April, any regional standouts were you seeing a slowdown, and also on the demand side? And then additionally going into May, in your press release you talked about some positive momentum in recent sales trends. So any more color on the -- more like a weekly trend than any regional standouts would be helpful? Thanks.
Eric Lipar: Yeah. Thanks for the question. This is Eric. I can start. Yeah, in April 605 closings. We'll report 115 communities, so averaging 5.3 closings per community. And as far as recent trends, we talked about April as a month being down 35% overall. The first two weeks of April were softer than the last two weeks of April. And then the first week of May was the best week this past weekend, the best week since we've had -- since the beginning of March. So like other builders have said, we are seeing positive trends and seeing more people come out to our offices as the stay-at-home orders have been limited. It is also important I think as we said in the scripted remarks that when we're talking about sales and comparisons, everybody does have to realize we have put the safety and health and well-being of our customers, employees first, we've been complying with all the government orders. So when you reduce your hours, you limit your staffing in the office. We've cut back marketing by approximately 80%. It's hard to get a real good feel for where sales are and we've been pleasantly surprised by the demand we're seeing with all those restrictions in place.
Elad Hillman: All right, great, and anything on a regional -- you mentioned, Houston was very strong in the quarter. How that's been trending given the decline in oil prices in the market there or any other kind of regional standouts?
Eric Lipar: Yeah. I think the regions have been consistent. Yeah, like we mentioned in the first quarter, the Northwest is real strong, San Antonio, Houston, the Texas market remains strong. Carolinas has been strong over the last month. And then, most recently, I think the state of Georgia, the state of Texas, the state of Tennessee, Oklahoma, the states that have loosened up on the restrictions. And opening up some restaurants and getting more people comfortable with going out. As far as last week, we saw a little bit more momentum in those areas.
Elad Hillman: Great, thank you, just on my last question here. I wanted to follow-up on -- and you mentioned a lot spend, in advertising spend and marketing spend. And so, I was just wondering what your -- in terms of the pace getting -- improving or getting a little better, what's your current level of incentives in the market? And have you been adjusting these? And I guess more broadly your strategy, regarding price versus pace?
Eric Lipar: Yeah. I'll take the incentive question to start with. We're not offering any additional incentives to our buyers. Right now we're seeing strong demand relative to the world that we're living in. There is a shortage of supply in most of the markets of new homes. We think there will be coming out of this, very strong demand from customers that are living in, densely populated areas, or living in apartment complexes, to get out and get more space and privacy. And we expect that demand to get there. And increase as we move further away from this situation, that we're in. So we don't think it makes sense for LGI business to offer additional incentives. We'll stay with our historical way that we price our houses. And really price to margin. And new communities come online. If we see some pricing pressures relax. And we can offer better value to our customers. We'll certainly do that. And if prices continue to increase, whether its materials, labor, fees, development costs then we'll adjust pricing accordingly, in that direction as well, but no additional incentives.
Elad Hillman: Got it, thanks Eric. Thank you very much.
Eric Lipar: You're welcome.
Operator: Thank you. Our next question comes from the line of Truman Patterson from Wells Fargo. Your line is now open.
Paul Przybylski: Yeah. Hi. Actually it's, Paul Przybylski. I was wondering, first off, there was a pretty meaningful increase in your wholesale business year-over-year. How are you looking at that here over the let's call it near to intermediate term? And are the buyers still in the market, or is their appetite waned at all?
Eric Lipar: Yeah, sure, thanks Paul, for the question. Yeah in the first quarter of 2020 we had a very positive, quarter from the wholesale standpoint. We had 199 closings, in Q1 that was 10.8% of our business. And that is up from 30 closings or 2.4% of our business in Q1. That was not because of large a discount to our wholesale partners is because, these homes that closed in Q1, were contracted a quarter or two quarters previous to that. So we've been very excited about the wholesale business. It's been a growing part of our business. And then in April we had 86 closings from the wholesale business or 14.2% of our business. We think wholesale similar to the first quarter will be 10% to 15% of our closings in Q2. And as you have probably heard some of the public REIT say just like we are in buying new land properties our wholesale partners are in a pause right now from new acquisitions. And we think that will come back. And be another very positive part of our story, when we get past the COVID-19 situation that we believe is temporary.
Paul Przybylski: Okay. You mentioned the states that, we're opening or have opened you've seen some positive response. Have you been able to make any operational changes in those states yet, as far as going back to your basic normal sales process?
Eric Lipar: We have to a limited extent. We're still being very much cognizant of social distancing. And doing all the proper hygiene and focus on the health and safety of our workers. But the fact that -- I'll use Texas for example, the fact that in Texas you can go out to a restaurant, that are -- it's only 25% capacity, but I think that's a good moral boost for the economy here in Texas and people are more comfortable going out. And then we've been able to increase our staffing and we've increased marketing spend just looking forward to that increased traffic. And it's early. Texas just opened up last Friday and the states that I mentioned just opened up last week. So, it's early but we did see some positive signs over the weekend and had what we consider a very solid week of sales.
Paul Przybylski: Okay. And then just one final one. Have you noticed any increase in your -- sorry realtor sales?
Eric Lipar: I don't think so. It's consistently run about 30% of our business over the last couple of years. I believe that was a pretty consistent number in the first quarter as well. So, no I think it's similar.
Paul Przybylski: Okay. Thank you. Appreciate it.
Eric Lipar: You're welcome.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Carl Reichardt from BTIG. Your line is now open.
Carl Reichardt: Thanks. Hi guys. Thanks for all the detail, it really helpful. I just have a follow-up on Truman's question about co-broke. You said you hadn't raised incentives to customers. Your co-broke is about the same, have you raised what you'll pay buyer's brokers?
Eric Lipar: We have not. No, we actually -- beginning of 2019 -- in the first quarter of 2019, we reduced the co-broke that we pay brokers from 3% to 2.5% and that has remained the same up to today.
Carl Reichardt: Okay. Super. Thank you for that clarification. On the land side, if I got my notes right you have 20,000 lots under development 7,800 finished, are you pausing your spend on underdeveloped lots?
Charles Merdian: Yes. Hey Carl, this is Charles. The answer is, is that any section that we're currently in development on is continuing as normal. But we're being cautious at the moment under our strategy just managing cash to release any new sections or go out to bid just yet as we just continue to monitor what's happening and we'll continue to evaluate it on a community-by-community basis.
Carl Reichardt: Okay. So, if you had a community where you had -- where you were matching starts with sales and it was running well and then you had a phase in front of you, you might go ahead and finish development there, but in general, you're not, is that the best way to think about it?
Charles Merdian: Correct. No, that's correct.
Carl Reichardt: Okay. Thank you for that. And then I'm sorry if you don't mind me sneaking one more in. Just on your community count which is running -- has been running quite fast how -- what's your thinking now in terms of communities where you could open in the next quarter or two? Are those on pause as well? Should we just sort of budget for flat communities until this is over?
Eric Lipar: Yes, Carl great question. This is Eric. We're going to report 115 active communities for the end of April. And then we're not giving guidance for third quarter or end of the year community count. Our prior guidance has been taken off. But we have communities ready to go. There are just too much uncertainty on the timing of those openings and where we're going to be with the state regulations and if we can put people on airplanes and continue our recruiting process. But the plan is to recruit and open new communities in the third or fourth quarter but the timing is so unknown that we can't give guidance.
Carl Reichardt: Okay, that's perfectly fine. I appreciate that. Thanks Eric.
Eric Lipar: You're welcome.
Operator: Thank you. Our next question comes from the line of Alex Barrón from Housing Research Center. Your line is now open.
Alex Barrón: Yes. Thank you. Hope you guys are all doing fine. I wanted to ask -- I know generally in your sales process you guys focus a lot of face-to-face kind of meetings. So, I'm kind of curious and I think you focus most of your sales over the weekend. So, I'm kind of curious how you've adapted to the current environment? Are you using more online tools, or are you selling throughout the week, or like has any of that changed?
Eric Lipar: There's the primary thing that's changed Alex is just all the social distancing protocols and really focusing on the safety and healthy -- safety and health of our customers employees. So, our process has not changed. We're very positive about our process. We're a systems based company. So, we're not going to change that process in a temporary situation. But we've certainly all had to adapt to these changing times. So, we certainly limited the number of people that have come into our offices, limited the staffing, but we're still meeting customers one-on-one, but with a lot of social distancing and a lot of restrictions in place.
Alex Barrón: Got it. That makes sense. And as far as your build times have those been impacted at all, or how much by the social distancing between the crews and stuff?
Charles Merdian: Yes. This is Charles. No not significantly at all. It's -- I think in the prepared remarks we actually mentioned that we had a lot of the scheduling processes already in place where we limit the number of trades that are in the homes at any one particular time. I think at the end of March, you saw a lot of movement in terms of how to get inspections and certificates of occupancies and things like that which we were able to manage through pretty effectively. So our construction schedules are in line and on time.
Alex Barrón: Okay. If I could ask one last one. I think I heard you say you lowered your marketing spend by 80% temporarily. So has that already started to come back, or where is it at these days?
Eric Lipar: Yes. It started to come back Alex in the markets that are reopening or reopening more parts of their economy where we can ramp up our sales efforts in the field. But it's still pretty slow. Most states are pretty highly restricted. So we'll be cautious on our marketing spend and gradually increase that as states start to reopen.
Alex Barrón: Okay. Well, best of luck and stay safe. Thanks.
Eric Lipar: Thank you, Alex.
Operator: Thank you. Our next question comes from the line of Barry Haimes from Sage Asset Management. Your line is now open.
Barry Haimes: Thanks for taking my question. Most of might have been answered. But one I just wanted to be clear in terms of the regions most affected by energy and the reduction that we're seeing in the oil patch. Are you saying to-date you have not seen any impact from that? I think you alluded to that but I just wanted to clarify. Thank you.
Eric Lipar: Yes. Barry, I think when oil prices have been so substantially hit and there's substantial job loss of economy. I don't think we want to say we haven't been impacted. I think it's just tough to gauge the impact right now, again, going back to we've really restricted our hours, restricted staffing, cut back marketing by 80%. So we're positive on the overall feel that we are hearing from customers. And what we're hearing from the customers as far as wanting to get more space and move out of dense areas. I mean, we are a suburban entry level single-family detached builder, and we think that is the right space to be in. We're also the only public homebuilder that's 100% spec builder. So we have the inventory on the ground to satisfy the demand for customers that want to get out of those apartment situations, and get into a home quickly. And we also have the systems and processes in place that we can build inventory and turn on the faucet if you will for marketing and sales and construction to ramp up very quickly.
Barry Haimes: Great. Good quarter. Thanks a lot. Appreciate it.
Charles Merdian: All right.
Eric Lipar: Thank you.
Operator: Thank you. At this time I'm showing no further questions. I would like to turn the call back over to Eric Lipar for closing remarks.
Eric Lipar: Thank you. As a final note, I would like to introduce Josh Fattor, who recently joined our team as our Vice President of Investor Relations. Josh has worked in and around the homebuilding industry for over 20 years. Prior to joining us, he was a director at Deutsche Bank covering the homebuilding and building product space. We first met Josh in 2013 when he was part of the team that worked on our IPO and he has worked closely with us on our capital market transactions every since. As part of the LGI way, Josh is currently participating in our 100-day training program, and I know he's looking forward to meeting and working with all of you in the future. Thank you everyone for participating on today's call and your continued interest in LGI Homes. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.